Operator: Good day and thank you for standing by and welcome to the Q1 Earnings Call. At this time, all participants are in a listen-only mode. [Operator Instructions] I would now like to hand the conference over to your speaker today, Richard Galanti. Thank you. Please go ahead.
Richard Galanti: Thank you, Anne, and good afternoon to everyone. I will start by stating that these discussions will include forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. These statements involve risks and uncertainties that may cause actual events, results, and/or performance to differ materially from those indicated by such statements. The risks and uncertainties include, but are not limited to those outlined in today's call, as well as other risks identified from time to time in the Company's public statements and reports filed with the SEC. Forward-looking statements speak only as of the date they are made, and the Company does not undertake to update these statements, except as required by law. In today's press release, we reported operating results for the first quarter of fiscal '22, the 12 weeks ended November 21st. Net income for the quarter came in at $1.324 billion or $2.98 per diluted share compared to $1.166 billion or $2.52 per diluted share last year. This year included a cash benefit of $91 million or $0.21 this year related to stock-based compensation and a write-off of certain IT assets of $118 million pre-tax or $0.20 per share. Last year include a tax benefits of $145 million, or $0.33 per diluted share, $0.16 of which was due to the deductibility of the $10 per share special cash dividend received by the company's 401(k) plan participants and $0.17 related to stock-based compensation as well an incremental expenses for COVID-19 premium wages of $212 million pre-tax, which was a hit last year in the quarter of $0.35 per share. Net sales for the quarter increased 16.7% to $49.42 billion, up from $42.35 billion a year earlier in the first quarter. Same-store sales for the first quarter were as follows: In the U.S., on a reported basis for the 12 weeks, up 14.9% and excluding gas inflation and the impacts of FX, up 9.9%. Canada reported 17.2% ex gas and FX plus 8.3%. Other international reported 13.4 ex gas and inflation in FX up 10.9% Total the company reported a 15% increase on a comp basis and 9.8% up ex gas and FX. And e-commerce which was reported at a 14.3 ex FX was 13.3. In terms of Q1 comp sales metrics, traffic or shopping frequency increased 6.8% worldwide and at 5.9% in the U.S during the quarter. Our average transaction or ticket was up 7.7% worldwide and 8.5% in the U.S during the quarter. Excluding the positive impact from gas inflation and FX, the average ticket was up ex that plus 2.5% worldwide and plus 3.5% in the U.S. Foreign currencies relative to the U.S dollar positively impact sales by about 90 basis points and gasoline price inflation positively impacted sales by approximately 430 basis points. Next on the income statement. Membership fee income reported in the quarter of $946 million, up $85 million or 9.9% from last year's $861 million figure. ex FX, the $85 million increase would have been 80 million, and the 9.9% increase would be 9.3%. In terms of renewal rates, our U.S and Canada rate came in at 91.6%, up three tenths of a percent from the 12 week earlier figure at Q4 end as well the worldwide rate came in at 89.0%, also up three tenths of a percent from 12 weeks ago at Q4 quarter end -- Q4 end. The renewal rates are continuing to benefit from more members auto renewing as well as increased penetration of executive members who on average renew at a higher rate than the non-executive members and first year renewal rates which have improved a lot. In terms of number of members at the end of first quarter, in terms of member households as well as total card holders, at Q1 end, total paid households was 52.5 million, up 800,000 from 61.7 a quarter ago, and total cardholders 113.1 million, up a $1.5 million from the 111.6 million 12 weeks ago. At Q1 end paid executive members totaled 26.5 million, an increase of 836,000 during the 12 weeks since Q4 end. The executive members represent 42% of our members and a little over 70% of our sales. Moving down to the gross margin line, our reported gross margin for the first quarter was lower year over year by 49 basis points and excluding gas inflation lower year-over-year by 6 basis points. As I normally do, I ask you to jot down a few numbers. There are two columns both reported year-over-year in Q1 and then without gas inflation year-over-year in Q1. First line item would be core merchandise, minus 3x minus 63 basis points year-over-year on a reported basis and minus 26 basis points without gas inflation. Ancillary and other businesses plus two on a reported basis and plus 12x gas -- to gas inflation. 2% reward plus 3 and 1 basis point. LIFO minus three in both columns. Other plus 12 basis points in both columns. Total then are reported basis margins were down 49 basis points year-over-year and ex gas inflation down 6 basis points. In terms of the core merchandise component gross margin being lower by 63 year-over-year and 26 basis points ex gas inflation. Recall last year in Q1 the core reported was up 83 basis points and ex gas up 66 basis points. So we've retained a good portion of the improvement from 2 years ago in the core. In terms of the core margin on their own sales in the first quarter, our core and core margins were lower by 18 basis points, with non foods slightly up and food sundries. slightly lower year-over-year. Also lower year-over-year fresh foods was the primary driver of the core on core being lower in the quarter. Fresh continues to lap -- to lap exceptional labor productivity and low product spoilage that occurred from the outside sales that began the year -- that happened a year ago in the quarter. Ancillary another business gross margin was higher by 2 basis points on a reported basis and again plus 12 basis points ex gas inflation. Gas and travel were better year-over-year as they anniversary a softer quarter a year ago, offset by e-com, which was particularly strong a year ago and also related to the pandemic. LIFO, we had a 3 basis point or $14 million LIFO charge in the quarter. 2% reward higher by 3 on a reported basis and lower by one excluding gas inflation, a reflection of slightly higher sales penetration going to the increased number of executive members,. And other was up 12 basis points. This is related to COVID related costs from a year ago. That portion of the COVID related wages that go into the cost of sales like many of our manufacturing businesses and our bakery departments, given the inflationary pressures and our ongoing efforts to mitigate price increases to our members in the face of inflation as best we can, our Q1 gross margins results on all I think we're pretty good. Moving to SG&A. Our reported SG&A in the first quarter was lower or better year-over-year by 66 basis points and 29 basis points excluding gas inflation, again jotting down two columns of numbers. First column being reported and the second column being ex gas inflation. Operations was better or lower by 40 basis points and ex gas inflation better or lower by 11 basis points. Central reported better by 10. Without inflation, gas inflation better by 6, stock compensation better by 2 and worse by 1 in the two columns, and other better by 14 and better by 13 year-over-year. Total then again on a reported basis, our SG&A was better or lower by 66 basis points, and ex gas inflation lower or better by 29 basis points. The -- keep in mind, in terms of the core again better by 40 or better by 11 ex gas inflation. Keep in mind this result includes the permanent dollar and hour wage increase that began in March of 2021. And 4 weeks of additional starting wage increases that we just took this past October going from $16 to $17 and from $16 -- $15 to $18 for our two main categories of hourly employees. These latest changes in the starting wages went into effect October 25, just 6 weeks ago, and 4 weeks of those 6 weeks are included in Q1 - and Q1. Central, that's it no surprises there. Again, ex gas inflation basis better by 6. Stock comp as I mentioned a little better, a little worse by 1 ex gas inflation and other the 14 and the 13 basis points numbers. This consistent of the COVID expense of 150 million -- $159 million last year and the $180 million write off of the impacted IT assets that I mentioned earlier. Next on the income statement is preopening expense. This year in the quarter $28 million, last year in the quarter 22 or 6 million higher. All told, reporting operating income in the first quarter increased 18% coming in at $1.693 billion this year in the quarter compared to $1.43 billion last year. Below the operating income, line interest expense was $39 million each of the first quarters of fiscal '21 and '22. Interest income, interest expense rather, interest income and other for the quarter was higher by 13 million year-over-year, primarily due to favorable FX. Overall reported pre-tax income in the first quarter was up 19% coming in at $1.696 billion. This year compared in the first quarter last year of $1.42 billion. In terms of income taxes, our tax rate in the first quarter of '22 was 20.7% compared to 16.8% in Q1 last year. Again both years tax rates benefited from the tax treatment of stock-based compensation as mentioned earlier. $91 million this year and $75 million last year in the quarter. Additionally, last year's tax rate benefited from the tax deductibility of a special dividend, that portion payable to the company's 401(k) plan participants. For fiscal '22, effective tax rate excluding these discrete items is currently projected to be between 26% and 27%. A few other items of note. In terms of warehouse expansion, as you know, for fiscal '21, we opened 22 units including to reload. So a net increase of 20 units during fiscal '21. And this quarter that ended a couple of weeks ago, we opened nine units including one relo, So net openings of 8. For the remainder of the year, we plan to open 23 new units, and also -- print open 23 units, 4 of which would be relocations. So in that '19 if all goes as planned. It's been a busy past seven days. We opened our second Costco in France last Saturday on December 4, followed by our second building in China, which opened yesterday, as well as two buildings opening this morning -- opening today, one in the U.S in Florida and our fourth unit in Spain. Regarding CapEx, our first quarter fiscal '22 spend was approximately $1.05 billion. Our full year CapEx spend is estimated to be just about $4 billion. This would represent an increase of more than $400 million over last year's entire CapEx figure of $3.6 billion. The largest areas have increased coming from international spending for new warehouse expansion and increased investment in our logistics and e-com fulfillment operations. In terms of e-commerce, sales in the quarter ex FX increased 13.3% year-over-year. That's of course on top of the 86% plus increase a year ago in the first quarter. Stronger departments in terms of year over percentages include jewelry, tires and home furnishings. Our largest merchandise department in terms of sales majors, which is everything from consumer electronics and TVs to appliances, etcetera, was up in the high single digits also on a very strong sales increase a year earlier. In terms of an update on Costco logistics, it continues to drive our big and bulky sales. For the quarter, Costco logistics deliveries were up over 50% and now represent about 70% of our U.S e-com big and bulky shipments. Average -- with average during the quarter more than 50,000 stops per week. And for the year, we project more than $3 million stops, which would be anything from dropping something off to installing and taking away the old plans. For logistics in the full year, Our e-com mobile app. We continue to improve the site with additional features thus far as I've talked about the last few quarters of quarterly calls. We redesigned the app Header and Footer, we've updated and improved the menu layout. Our members now have the ability to view warehouse receipts online via both the app and desktop. Our co-brand Citi Visa card is now linked. It can now be linked to the digital membership card and can be used for payment. Our members are now able to much more easily reschedule e-com deliveries in the U.S and Canada. Same goes for rescheduling returns pickups and delivering in the first half of the new upcoming new calendar year. Labelling of fulfillment a better labeling of fulfillment methods. Members can -- it will be easily the -- will be able to easily see fulfillment options, be at e-com same day, and even nearby warehouse availability of a particular item at a particular item level. We're rolling out new e-com kiosks in the warehouse with video signage and easy touch screen ordering as well. We're rolling out e-commerce lockers. Currently in the U.S., we have 112 locations with more and --- we plan to more than double that number during calendar year 2022. In terms of e-commerce, there's a program that received some press yesterday just yesterday called Costco next, in a way it's like our warehouse road shows, but online, currently, there are 34 suppliers and growing, but it's still quite small, offering just under 1,000 items, curated items with Costco values, so please check it out when you have a chance. From a supply chain perspective, similar issues that we outlined in 12 weeks ago on the last quarter we call. Each issue ebbs and flows a little bit. But overall, the factors pressuring supply chains and inflation include port delays, container challenges, COVID disruptions, shortages of various components, raw materials, ingredients, and even packaging supplies, labor cost pressures and truck driver challenges. Overall, we feel we've dealt pretty well with the supply chain challenges in terms of delayed container arrivals on the Pacific Coast. About 79% of our import containers are late by an average of 51 days. A few percentage of those were actually a few days early and many of them are a few days more than 51 late. Virtually all departments are impacted. We've ordered early in many cases as I mentioned, I think in earlier calls, given the lower longer lead times, less product and packaging challenges, but still quite a bit. Still some limitations on key items, but improving again, it ebbs and flows. Chip shortage is still impacting many items, some more than others. In some instances, delayed inventory simply extends the season, an example might be lawn and garden and patio. As soon as the product arrives, it sells pretty quickly. But it may extend into beyond the normal seasonal time, toys and seasonal in fact, same thing, some inventory, in fact, won't make it before Christmas, but we've mitigated that as best as possible, and feel pretty good about it. And in terms of moving on to -- despite all the supply chain issues, again, we're pretty -- feel pretty good about staying in stock and continuing to work to mitigate cost and price increases as best we can. Moving on to inflation. Again, it's pretty much the same story that we told during each of the last two quarters. There have been there have been in our variety of inflationary pressures that we and others are seeing, from labor costs to freight costs to higher demand to container shortages and port delays to increase demand on certain product categories. Much of what you see and read out there are very shortages on everything from chips to oils and chemical supply by facilities hit by the Gulf store was a while back, higher commodity prices. For Q1 '22, and talking with our merchants and merchants, we estimate that overall year-over-year price inflation to be in the 4.5% to 5% range. That's a little bit higher of an estimated inflation rate that I discussed a quarter ago. But I think pretty consistent with what you read out there. All the said, much kudos to the job that our merchants and our traffic department and our operators have all been able to do in order to get the products that we need to pivot when and where necessary and keep our warehouses full. While keeping prices low for our members and continuing to show value versus our competitors. Look I think overall this is reflect this is best reflected in the operating results that we continue to achieve despite these many challenges. Anecdotally on merchandising, holiday stuff has been strong, again, sometimes it depends on when the merchandise gets in. Baking items more people seem to be getting together a strong -- gift cards are up, dramatically from a year ago, but it was weak a year ago. Pet products as you might expect are strong with the benefit of increasing pet population over the past couple of years. Alcohol [ph] and spirits are strong, including gift boxes of various items. And, of course continued strength in consumer electronics, appliances, furniture and mattresses and the like. Apparel actually has enjoyed much stronger sales growth this year,. albeit compared to a relatively flat apparel sales a year ago. One last comment. Our sustainability commitment website received a major refresh this week. So please feel free to visit the site. It's linked directly from our homepage under the column about us and then click on sustainability commitment. Finally, in terms of upcoming releases, we will announce our December sales results for the 5 weeks ending Sunday January 2, on Wednesday, January 5 after market close. With that I will open it up to questions and turn it back over to Sadie. Thank you.
Operator: [Operator Instructions] For our first question we have Michael Lasser from UBS. Michael, your line is open.
Michael Lasser: Good evening. Thanks a lot for taking my question, which are your point about 4% to 5% in inflationary increase across the assortment. Typically Costco has been slower to raise prices than everyone else that seems to be a number that's in line with others across the retail sector. So is the -- is it the posture changed with respect to passing along price increases? Why is that the case? And if Costco have more pricing power today than it ever has in the past, given the pricing gaps between you and others in the market?
Richard Galanti: Well, I think as it relates to a passing on, we've always said we want to be the last to raise the price in the -- first to lower the price, recognizing there's a limit to what you can do based on these cost increases. First and foremost, I think because of our relative purchasing power and our relationships with our vendors, we with our suppliers work to mitigate those increases in any way shape or form we can, Ultimately that may include us taking a little more less markup and maybe then taking a less markup. There's no complete, consistent answer throughout as you might expect. But overall, I think we've done a relatively good job of that and there is inflation in those numbers, those numbers are kind of a combination of our cost increases as well as our some price increases and, again, it fluctuate there. For every few examples of something going up, there may be an example of something flatter, going down a little bit for unrelated reasons. And so again, it's a best guess, it's fluid. We saw inflation starting several months ago in a bigger way, I think, in our fiscal Q4 this summer, and continuing into this fiscal year and as we all have read articles, general articles out there about certain different major consumer product manufacturers announcing increases and continue to do so. So I think it's going to continue, hopefully, we're getting towards the top and it'll start flattening out and subsiding. But we'll see.
Michael Lasser: My follow-up question is with the core merchandise margin ex fuel and core on core gross margin getting less bad or declining at a lesser rate, this quarter than last. Is this a sign that the margin here is stabilizing? And do you think the Costco exits the pandemic with a structurally higher gross margin than it had in the past, or all these dynamics simply a function of what you've often said, which is when overall retail margins go up, go to Costco for just a little less than others. Thank you.
Richard Galanti: So I think I'm the last comment, yes, in terms of that last comment you made. Look, I think, at the end of the day, I think we -- in many ways have benefited from market share gains. Hopefully some or most of which will be sticky. The biggest thing that impacts margins many often is not only on the buying power side, and arguably, I can't think of any company that has the buying power per item that we do, because we do roughly $200 billion in sales with 4,000 ish items versus anybody else that's doing it with hundreds of thousands of items, or 50,000 items. But I think that having higher levels of sales productivity, particularly in things like fresh foods, helps your margin. We'll keep some of that and we'll use it to be even more competitive and hopefully, build a bigger model a little bit. But I think that some of it is probably structurally there. But as some famous TV actress said, once it's always thought is always going to be something. And, we'll keep fighting that battle out there. But we feel pretty good about some of the structural things that have occurred that hopefully will help us in the future. But we'll have to wait and see.
Michael Lasser: Great. Thank you very much and have a good holiday. Thank you.
Operator: For our next question, we have Simeon Gutman from Morgan Stanley. Simeon, your line is open.
Simeon Gutman: Hey, everyone. I'll be Simeon for this call. My first question is actually a follow-up to Michael's second question. Maybe I'll ask it a different way, Richard. The 2-year core on core looks like it's actually getting better. And you said it yourself, you thought you did a pretty good job on it, and it looks like you are. So if we're kind of getting it feels like you're managing through the worst of it. And the environment may be getting better at the margin. I don't want to go too far. And say that, why shouldn't be this be the worst for the core on core notwithstanding comparisons, but the minute they get harder, but then they start to get easier.
Richard Galanti: Yes, look, I think that's hopefully how the storybook goes. It's always going to be something but no, look, we Jokes aside, we feel pretty good about structurally what we've been able to accomplish. And part of that is market share with higher sales levels. And we've not stopped the -- what I'll call the buyer creativity of working with suppliers to figure out how to continue to drive greater value. I can think of 50 examples, but at the end of the day, we're continuing to drive value in lots of ways and whether it's changing packaging, or using our volume, moving certain production to different parts of the world. And to take -- to again to make that moat even a little bigger. So I agree with you that so far, the story that you suggested is playing out, and hopefully it'll continue to play out.
Simeon Gutman: Fair enough. My second question is more on SG&A and the business's leverage point. We used to chat about, Costco, always doing mid single digit comps and that's good enough to cover the SG&A dollar growth. I think this quarter, the business did about 6.5% dollar growth adjusted. And you're going to have some of these wage investments that don't annualize Well, maybe not to the middle or to closer to the end of the year. So I'm trying to get at what a normal post COVID SG&A rate may look like. And then, does that mean it's sort of that mid single-digit comp rate that leverages those expenses, I think is related to the probably the best estimate and I say guesstimate not estimate on where do you start? Where's the inflection point of leveraging SG&A probably still is in that mid single-digit range. Beyond that, who the heck knows. I mean, we've been able notwithstanding some of these increases. We've been a, particularly in wages, we've been able to in strong comps have helped help these numbers. But I think we feel pretty good about having the sales volumes that continue to be able to leverage those expenses. So as soon as we find out, we'll let you know. But again, we're feeling pretty good about things at this juncture. And at some point, I would assume comps have to come back to hopefully better than pure average, but something back to where they had been pre-COVID, but on a higher base, and even that helps you a little bit.
Simeon Gutman: Okay, great. Thanks. Happy holidays, everyone.
Richard Galanti: You too.
Operator: For the next question, we have Christopher Horvers from JP Morgan. Christopher, your line is open.
Christopher Horvers: Thanks. Good evening, everybody. So, I wanted to ask a little bit about your thoughts on holiday pull forward. Obviously, you saw an acceleration in trend on a 2-year basis in October, and then November things obviously, still amazing comp and gaining share. But trends decelerated and it was sort of against what was a weaker, I think, end of the month last year. So, can you talk about, like, what do you think is driving that? How do you think about the rest of the holiday season? And as you think about a consumer that's going to lap a bunch of stimulus in the first half of next year, what are your initial thoughts on how that all could play out?
Richard Galanti: Well, I think, again, as you just mentioned, November's comps were a shade under outside expectations, still very good, a couple percentage points different than what we had been enjoying the couple of months prior that. Probably the view is a little bit of that was pulling forward. But even within last month's number, the weeks varied, and overall, we're good. But just when it comes -- when it is reduced a little the next day, it's better than you expected. So I think the one thing that I feel good about is, is our in-stocks. Our senior merchant the other day had indicated in his view is that, his feeling is that we're better and stocked than anybody out there. And I think part of that is the fact of limited selection, that we are an item business, we could put something else in place or something. But we've done a pretty good job. I mean, I had a -- with a little bit of a chuckle at a call just yesterday from a reporter asking about how are we doing on cream cheese. And so I checked and [indiscernible] cream cheese shortage out there and the bagel shops are being challenged. We actually got it as the buyer said, it took a little extra work, but we've got all the cream cheese we need. So I think we've done a good job in merchandising.
Christopher Horvers: Got it. And so, I guess as you think about last year, and the stimulus I mean, do you think that -- I mean actually I think the consumer, as you get closer to Christmas and New Year's, probably comes back if people are entertaining more, like you said in the baking side. But as you get into January and stimulus and stimulus in the spring, do you think your business lifted off a stimulus last year?
Bob Nelson: It couldn't hurt, it probably helped a little bit. I know historically when there's been some stimulus items out there factors, our view is that we have not been impacted as much as other, but directionally we've been impacted the same. Look, if next year, there's a reduction in stimulus, lord knows what's going to happen with the stock market in general and how people feel about where they -- how they feel financially. That may change a little bit. But I feel -- we feel pretty good around here, that one of the things that we've shown over the years that both in good and bad times, we tend to do well, and good times, because people want to spend more and even in less good times people want to save more. And so I think from a merchandising stem and in tougher times, there's additional products and services that might be willing to sell us for the first time. So in our own perverse way, we sometimes benefit from good and bad and right now we're feeling pretty good about what the future looks like.
Richard Galanti: Oh, by the way, the other thing that Bob just mentioned, that even if certain things head south in some way, shape or form like reduction or lack or elimination of certain stimulus items, supply chain at some point is going to get better. As good as our members are, we could do better if we had more supply of certain of those items. Even in some categories in non-food that are up 20% and 30% plus, the buyers view, we're still running out of stuff, or to do better if we had more. And that's not just us, I mean that's -- it's rains on everybody. But I think some improvement in supply chain will be an offset any other things that are detrimental to that thought.
Christopher Horvers: Got it. Thanks very much and enjoy the run on cream cheese at the clubs this weekend. Take care.
Bob Nelson: Historic.
Operator: For our next question, we have Chuck Grom from Gordon Haskett. Chuck, your line is open.
Charles Grom: Hey, Richard and Bob team. Hope you guys are doing well, Question on leverage. If we back up the one-time charges in the quarter, it looks like you enjoyed over 100 basis points of improvement year-over-year and 65 basis points last quarter. And fully realizing the comps on a stock basis were better, but wondering if some investments or other costs may have rolled off. Just some thoughts on that front.
Richard Galanti: I think more of it is just the leverage of sales growth, frankly. Again, taking out the specific COVID related charges that we talked about, and factors we didn't talk about in terms of separating in the press release was that dollar an hour increase we did in March, and the new one that had a small impact in Q1 because it started 6 weeks ago. But in that regard, there's nothing that stands out in my view. And my guess estimate, I'm looking at my guys here, do you -- it was strong -- strong sales would be the number one factor.
Charles Grom: Okay. Okay, fair enough. And then just on the storefront, 14 opened thus far in '22. So you're more than halfway to the goal, which is great. I was just wondering bigger picture, has there been any more discussions to backfill some of your existing markets, your higher density areas where perhaps some stores, just can't handle any more productivity more -- any more throughput just because of the volumes?
Richard Galanti: I think that's -- the answer is yes. And I think that'll be small methodical increases in that thought over the next several years. I mean, it used to be that we talked about when we had 400 warehouses and the average, I'm making those numbers up. So the average was 180. And now the I think we have an average several years later in the high 200s in the U.S at least. And we have a number of units in the 300 to 400 range. I mean, not the hundreds, but 10s of. And so we're looking for more infill. That we've been doing that and if it was 3 to 5 a year, or 3 to 7 a year, in the last 5 years, is it going to be 5 day a year. Could be I don't have that kind of detail in front of me.
Charles Grom: Okay, great. And then my last one is just a follow-up on Chris's on November. I believe you guys did call out that there was some moderation in retail inflation, maybe 150 basis points or so. I’m just wondering if you could provide any color on where that retail inflation came in. And I guess why that happened? Was it self inflicted, just wanted to get some color there.
Richard Galanti: One thing that was a little lower was from the increases in food and sundries and some food sundries items in fresh. That had spiked even more, it's still up year-over-year, but it spiked a little, it came down a little bit from where it had been. And then we haven't quantified anything specific beyond that.
Charles Grom: Okay. All right.
Bob Nelson: And as you might expect, they're their suppliers out there. They're saying hey, come January, February, you'll see some more increases. And, again, this is not consistent with what you -- what I've read in general articles in the various business periodicals.
Charles Grom: Okay. So just a lot of timing differences. Okay.
Richard Galanti: Yes.
Charles Grom: Great. Thanks. Thanks a lot.
Operator: For the next question, we have John Heinbockel from Guggenheim. John, your line is open.
John Heinbockel: So, Richard, how is KS [ph] performing and what happens or how do you think about it in an inflationary environment, in terms of how you take price versus like items on the national brand side. And this KS do better in an inflationary environment?
Richard Galanti: Look, many of our KS items are of such large volumes. It's not unlike dealing with the comparable large volumes we do in a branded CPG item. And so we're out there, fighting with both of them to try to mitigate those cost increases. KS still grows at a little faster rate than others, but nothing discernible. I think we keep finding new items to do KS with and for a variety of different reasons. And so it continues to drive that brand. But no, I don't think there's a -- we don't see a big difference of how that's changing.
John Heinbockel: Okay. Secondly, you're talking the 70% on Costco Logistics is 70% of your needs. You're at what capacity in logistics? Is it still 50%? Or is it crept above that?
Richard Galanti: It's in the 50% range. Maybe it's slightly higher than that, based on our when we originally bought what's now Costco Logistics, a year and a half ago. We moved over a bunch of volume, we've grown it as well, grown our total base of need. And I think we're slightly above the 50% that we felt we had capacity for at the time. And we certainly have plenty of capacity over the next few years. Mind you, we're spending money on it. Part of our fulfillment and logistics as I think I mentioned on the last quarterly call, within CapEx we had spended $340 million or so on a multi acre million, 1.6 million square foot distribution facility in Southern California. That's for a variety of needs. Some of the -- much of what we bought Innovel acquisition in March or April of 2020, more than 10 million square feet of space around the country, much of its leased. Much of its fine, by the way, but we're not all that was geographically, particularly the big sites, 2 billion square foot sites were an area is where we're stronger relative to where Sears is stronger, or they had most of their business at the time. So we're still spending money on it and upgrading it. But we’re -- again, from a merchandising standpoint, we're very excited about it. And it's helped us grow that business in a big way. And given our small market share of many of those items, particularly on the plant side, we feel there's a lot of growth potential for us.
John Heinbockel: Okay, thank you.
Operator: For the next question, we have Karen Short from Barclays. Karen, your line is open.
Karen Short: Hey, thanks very much. I wanted to just talk about ticket a little bit. So U.S ticket at 3.5%? Can you kind of parse that out on per transaction versus AUP, but also tie that into the inflation numbers that you called out for the quarter and/or your expectations on inflation?
Richard Galanti: Honestly, I can't. I don't have that detail in front of me. Generally speaking, you've got electronics that like TVs and what have you that are going down in price, maybe a little less this year, because there's less promotions because of shortages. I mean, in every budget meeting every 4 weeks were presented examples of items where we're taking down the price of high volume key items by changing the packaging by moving some aspect of manufacturing to another part of the world. And so I don't have the detail here in front of me for that. Sorry.
Karen Short: Okay. And then I wanted to -- I don't think this has been asked for a while. But can you give an update maybe on what the average ticket is for executive members versus gold? And then, I know you gave, obviously, you've given the percent of sales, but frequency of executive versus gold, how maybe that's changed over the last, almost 2 years of the pandemic?
Richard Galanti: I will -- somebody is just running out of the room to see if they can grab that sheet. And I'll answer it as soon as they get back if you want to ask another question or move on to the next one. But I'll [indiscernible] gets back.
Karen Short: Well, my standard question would be just on your cash balance in terms of thoughts on special dividends?
Richard Galanti: Oh, well, as soon as we know you'll know or the day after. The -- look our cash position is strong. One of the things I pointed out is our CapEx is also increasing in a conscious way, notwithstanding that our cash flow from operations is growing at a quite a stronger rate as well. It's something that we've done 4x in 8 years. We and the shareholders seem to like it when we do it, and so I'm not trying to be cute, but we haven't made that decision at this juncture. It's probably a win not if, but when it'll be -- when we do it.
Karen Short: Okay. And then maybe just while you're waiting for that numbers on the executive, can you just maybe give us some color on what percent of freight is actually spot versus contract? I don't know if you've ever given that number.
Richard Galanti: I don't have the exact number, but I'm willing to bet, it's 80% plus. I could be wrong, a little bit, but it contracted. Now recognizing with contracts, we might do 1, 2 and 3 year contracts. So we're still benefiting on 3-year stuff. And then if any little on 2-year stuff, and now gone beyond the benefit of the 1-year stuff, And so it's over two or three year period, but our assumption is, is it'll take less than that time to start to normalize somewhat.
Karen Short: Okay, great.
Richard Galanti: Is it happen today [indiscernible], yes.
Karen Short: Right.
Richard Galanti: But it's -- I think we again, we probably with other large users of freight and containers, have probably done a pretty good job of at least staggering, that not having to do a lot of spot stuff so far.
Karen Short: Great. Yes. I mean, if you got those numbers on executive and golden ticket and frequency, that'd be great.
Richard Galanti: Okay. What they came back with right now is we don't have -- I don't have quickly average ticket changes. But the total spend per executive member compared to a Gold star member is almost 3x.
Karen Short: Okay. Thank you.
Richard Galanti: Call it 2.5. Thank you.
Karen Short: Okay. Thanks so much. Bye.
Operator: For our next question, we have Greg Melich from Evercore ISI. Greg, your line is open.
Greg Melich: Hi, thanks. I’ve two questions, Richard. One is digging a little bit into the margins, the gross margins. You said gas and travel have helped, but then offset by e-commerce. Can you sort of explain where -- so that was gas penny profit was up even at the mixer. Is that …
Bob Nelson: Margin percent was down but you got a 40%. 50% increase in price per gallon.
Greg Melich: Got it.
Richard Galanti: So you still might have more pennies per gallon, but the margin itself was down.
Greg Melich: Got it. And then that was offset by e-commerce.
Richard Galanti: [Indiscernible] e-commerce. Yes, and again, I would read a lot into any of that description. We're just trying to share with everyone directionally what helps it and hurts a little bit. e-commerce just given all the activity, we've gotten expenditures on fulfillment and expansion, and doing what we can over time when we're pulling tickets if we -- if something else happened. I don't view as a big issue from it. It's not whatever -- whether the margins up a little down a little, it's less about competition and more about what's the product mix that month or week. And what else is going on with this rapid expansion and investment in it?
Greg Melich: Got it. And then maybe that's a tie back your discussion on the logistics. Big and bulky, if we look at the e-commerce is roughly 8% of sales, its big and bulky a quarter of that. Is that the kind of scale we're talking about?
Richard Galanti: It's over a third. So we’re third, great.
Greg Melich: And then last but not least, the renewal rates continuing to tick up I guess, impressive how do we -- what -- it shouldn't have come off at some point. Just given that you have more first year members?
Bob Nelson: [Indiscernible] get to 100? No, just kidding. Look, I think as I mentioned earlier in this and when I speaking, probably the single biggest thing that's helping it right now is, auto renew. As we get more people on a credit card both in the two big co-branded in U.S and Canada. That's a no brainer to help a little bit as we convert people to executive member. And as we, for every 100 new people signing up a slightly higher number of them sign up as executive members, they are more likely to renew. So those things help as well. The thing I mentioned about new warehouses and markets around the world tend to be while they have a very much lower renewal rate in their first year of renewal or a year or two, and then now continue to grow as more people have renewed the prior year. Those are starting -- generally those are starting at higher rates than they were. So all those things help a little bit. I'd like to think it's all the wonderful things we do and the value proposition and but certainly auto renew is probably a good help there.
Greg Melich: And then last, because someone has to ask it just fee increase, I guess, back half next year is when we'll be 5 years since the last one. What are the thoughts on that? Just given that the members seem to be self selecting the fee hike already through the executive membership? Does that change your thought process as to when you might hike the fee? And our only thought is, is we are probably start getting questions about now. So when we [indiscernible] still a while away, and we certainly feel good, as I've said, in the past, renewal rates, strong renewal rates and loyalty help that process -- so that thought process and we'll see. But it's just a little bit of time to think about it.
Greg Melich: Very well have a great holiday season, everyone.
Richard Galanti: Thank you.
Operator: For our next question, we have Rupesh Betti from Oppenheimer. Rupesh, your line is open.
Rupesh Betti: Good evening, thanks for taking my question. So I wanted to touch on Canada and other international. So we saw a strong and accelerating 2-year contract for both Canada and other international. Is there any more color you can provide in terms of maybe what you're seeing in those geographies?
Bob Nelson: I'm getting a little help here. It's more -- it's probably most is roguery, it's probably most about what how COVID impacted different countries differently. timing wise. I remember a year ago, a year and a half ago, some of the foreign countries did better while we were being locked down, and then later, they got locked down. And so part of it is one of the reasons I think everybody is picked up on the 2-year stack concept. But I think that's as much as anything that that's the reason.
Rupesh Betti: Okay, great. And then as you look at your ancillary businesses, is there a way you can find an update as to how they're trending now versus pre-pandemic?
Richard Galanti: I don't have that detail with me. But generally speaking, tires have picked up as an example of an ancillary business. But the Costco auto program is down because there's a shortage of cars out there. Travel is up not where it was pre it was almost back to where it was pre-COVID. And then delta variant hit. And then it was coming back again and then Omicron hit. So it fluctuates pretty quickly. Omicron though, and I'm trying to think the other things. Food courts have come back. Not I don't think they're quite where they were, but they're almost there. Hearing aids have come back. But still, I think slightly below pre-pandemic. Articles doing great. Pharmacy is doing great, helped, frankly, by the shots. We like other retail pharmacies, providing plenty of vaccines.
Rupesh Betti: Okay, great. Thank you for all the color.
Richard Galanti: Okay.
Operator: For our next question, we have Stephanie Wissink from Jefferies. Stephanie, your line is open.
Unidentified Analyst: Hi. Good afternoon. This is Blake on for Steph. First question will be higher level, you guys are a big proponent of the in-store shopping experience. It seems like store sales have been fairly strong as of late for retailers. So wondering, how have your -- how's your in-ore shopping compared versus e-com versus your expectations recently? And then maybe if you can share any e-com pilots you might have that you've been working on? I know you mentioned you did a pickup test, but you discontinue that. Anything maybe in the works that you can share.
Richard Galanti: Well, both in-store and online have picked up. The pickup from things like Instacart for same day fresh skyrocketed during the lock downs in mid to summer, mid to late summer 2020 came down from those peaks, but it's still way above where it was pre-COVID. E-commerce is as you know, because we talk about every quarter is 8% or 9% of our sales on that company. There's $192 billion in sales for the year ended this last August. So that's a lot bigger than it was. 2 years ago, well I think in the last 3 or 4 quarters, the 2 year taxes 100% plus. But notwithstanding that, and part of that is the big and bulky that has helped that number, which we really weren't driving that kind of business in-store anyway. The fact that I think that as we've heard occasionally that notwithstanding some people don't like our mask requirements when we first put them in back in May of 2020, I think overall people felt if I've got to go out I'm going to go out to one place and [indiscernible] stuff. And with taller ceilings and wider aisles and all those things, I got to believe that psychologically that's helped a little bit. At the end of the day, we were all surprised by [indiscernible] March of 2020, we're surprised by the strength in non-foods categories, summer and fall of 2020, much less now -- much the same now. It was because people weren't travelling, and they weren't going to games and concerts, but they were buying things for their home. And we certainly had on top of all the food items, all the other things they could buy for their home. So that was a pleasant surprise to us and that's continued. In terms of other tests, not a whole lot. I mean, we did have that small test in New Mexico with buy online and pick up in store. [Indiscernible] as I mentioned on the call, we have over -- a year from now have over 200 of our U.S warehouses with lockers. In terms of buying online, pick up in store, we're not quite sure about that. We have very busy locations, there's not a lot of room for it. And it doesn't seem to be a lot of people clamoring [indiscernible] or half the people that come in and do that on a few things that we buy online and the lockers, they come in and shop while they're there. And so that's what we want. So beyond that, I don't think -- I think some of the things we're doing that I mentioned briefly about mobile and digital, some of these things everybody else have, we are sometimes late to the game on some of these things. But those are -- should be on that additive to what we do.
Unidentified Analyst: That's super helpful. I was also wondering on your inventory positioning. How much are you getting ahead of, any seasonal items, or any challenges you may foresee for Q2 and Q3 for the spring and summer?
Richard Galanti: I don't know exactly. I know that consciously they -- the buyers when they presented the budget meetings or talking about those issues, we are bringing in things early. We certainly have -- you think about it, what we call our depot, our view of distribution system in the U.S was something like 10 million square feet. And we essentially slightly more than double that with the Innovel acquisition, aside from other things that helps us with a little storage if we needed or bringing in things early. Recognizing we start with we are somewhat seasonal, but historically volleys brought things in early anyway. So we've -- whatever it may be, we certainly have the cash, as somebody mentioned earlier, to have some extra billion dollars invested in inventory, even if it hangs around for a little bit. But I think overall, some of our items are still a little later than they would be pre-COVID. But better than they would be if we were not doing as good a job as I think we are doing on forward buying.
Unidentified Analyst: Perfect. If I could sneak one last one in. I might have missed it, but I think you said for the net new openings this year, you said 19. I thought the last quarter you were aiming more towards 25. Is there anything to call out?
Richard Galanti: When I said it was 19 more in the last three quarters of the year, fiscal year, plus the [indiscernible].
Unidentified Analyst: Perfect. Thank you very much.
Operator: For our next question, we have Paul Lejuez from Citi. Paul, your line is open.
Brandon Cheatham: Hey, everyone, this is Brandon Cheatham for Paul. I was wondering if we could talk about the increase in CapEx. I think last we spoke we thought CapEx would have a [indiscernible] front of it. Now it sounds like it's -- it has a four in front of it. I'm just wondering, is there a change in the strategy there? And specifically on the e-com investments, do you feel like you're playing some catch up there or laying the groundwork for growth, just anything that you can share with that?
Richard Galanti: Sure. I think previous as relates to this year, we had talked about, I think 3.8 to 4.2 quote unquote, now we're saying about four. These numbers are up from the mid threes over the last couple of year, low to mid threes over the last couple of years. In fact, last year's 3.6 included a $340 million or $345 million asset purchase that I mentioned earlier in the Southwest, in Southern California, which is basically a 1.5 million plus square foot facility with lots of acreage to help with our fulfillment as well as our import stuff. And so I think there's, if you said what are the big things take you from the low threes to the low fours over a few years a period, it's more international expansions, which tends to be a little more expensive for location, more expansion, we -- in fiscal '20, we were down to 13 net new units because some delays with COVID. I think we were 20 and 21 and we're going to be 27 net new units this fiscal year. plus five relos, which is -- six relos planned. We might miss that a little bit. But at the end of the day, so there's more warehouses. Clearly more in the whole fulfillment concept, starting with the $1 billion acquisition a year ago of what's now Costco Logistics, starting with adding additional square footage to that, as well as the international things. And even on the distribution side, or what we call our cross stock depots, spending money overseas now in some of these countries to do some of that in a better way. Actually building a mini depot in Hawaii, where we have five locations? Seven, I'm sorry. Seven locations, but huge volume locations. And with a -- so we’ve gotten to the volume and efficiency there that these are good investments. So it's a lot of those things. Mind you, we still spend all in close to a $1 billion a year here in IT.
Brandon Cheatham: Got it. And it's how we should kind of think about it going forward long-term?
Richard Galanti: That's -- by the way, that's not all CapEx, that's expenses, go ahead I'm sorry.
Brandon Cheatham: And the 4 billion range is what we should think about CapEx for the long-term.
Richard Galanti: I don't know for the long-term, I think four sounds about right for the next year or two. And if things continue to grow well -- go well and grow well, maybe goes up from there a little bit. But we're not looking to spend it if we don't think we have good things to spend it on just because our cash flow has been exceeding net income plus -- our cash flow has been exceeding regular dividend plus capital expenditures, and the like.
Brandon Cheatham: Got it. And you also mentioned that you're able to change our products, when you're faced with shortages. I was wondering if you could quantify that versus kind of a normal quarter. And if you are switching out more than usual, what impact does that have on consumer behavior there, anything on the logistic side as well?
Richard Galanti: I think it's -- I don't have the exact number, but my guess is it's a small low to mid single-digit percentage. What it means though is when back -- going back all the way back to spring of 2020 and there were -- people were hoarding goods. We were going out to additional suppliers to see what we can get recognizing from their perspective, it creates a new relationships, which will honor. You only forward not just for the three months that we [indiscernible]. And so I think there were opportunities to just expand product brands by necessity into some things, and with I think the -- going into last summer and fall with that advent of all the things for the home, both patio furniture and [indiscernible] and barbecue grills and indoor furniture and electronics and gadgets for the kitchen, we took advantage of that and brought in additional items. And so it's more of that than anything. And the treasure hunt, yes. So it's still a small piece, but I think it's -- when I sometimes -- when I go into some retailers, I'm not going to go into any names, but you'll see a shelf half empty or some spaces. First of all, once you put something in there and but at the end of the day, I think our buyers have done a very good job of keeping the warehouses full.
Brandon Cheatham: Okay. Thanks, and good luck for holiday.
Operator: For our next question, we have Edward Kelly from Wells Fargo. Edward, your line is open.
Edward Kelly: Hi. Good afternoon, guys. Happy holidays. Richard, I wanted to ask you gross margin [technical difficulty] considered. Any additional thoughts that you can share current quarter [technical difficulty] reason we should expect some incremental [technical difficulty] somewhat similar.
Richard Galanti: You're breaking up entirely during that call. So I heard about every other word, if you want to repeat yourself.
Edward Kelly: Yes, sorry. So I wanted to ask you about the gross margin. As you said, pretty good all things considered, any additional thoughts you can share on the current quarter? Comparisons in the core looks similar I think. Just wondering if there's any reason we should expect any incremental pressure.
Richard Galanti: From a competitive standpoint, I mean, there's lots of -- everybody is competitive. Again, I think structurally our model allows us to [indiscernible] that. We talked about more pennies per gallon of profit that allows us to do some other things. I think we've got a -- I think we have a lot of levers to pull here. And we feel pretty good that we are able to hold the prices on key items. And to -- I don't really think that we consider the challenge of achieving a margin. We're pretty good at figuring out how to get there, while still being the company we are in terms of competitiveness. So no big changes of what we see out there.
Edward Kelly: Okay.
Richard Galanti: Just there's a lot of changes every month, and some things go up and some things go down. But overall, we feel pretty good about it.
Edward Kelly: All right. And then just [indiscernible] for a little bit more big picture just around customer data. I was hoping maybe you could just provide an update on things like personalization. And then media is something that we hear a lot of people talk about, maybe just any thoughts on what you're doing with that opportunity as well.
Richard Galanti: I think there's still low hanging fruit on the tree here. We've talked about it a little bit, we've done a little bit more targeting than we have ever done, but very little, there is more to come. It was just a year and a half ago, that we hired someone at a relatively senior level in terms of data analytics. But that's not the only thing they're working on. And they're -- that group that he's put together. But so I think those are things that will come over time in the next few years. That's pretty much what I can tell you about that.
Edward Kelly: Okay, thank you.
Richard Galanti: Okay. I'm going to take two more questions, [indiscernible].
Operator: And for the next question, we have Laura Champine from Loop Capital. Laura, your line is open.
Laura Champine: Thanks, Richard. [Indiscernible], it's a follow-on. I mean, you'd mentioned that renewal rates are still headed higher in part because of likely because of the auto renew. What percentage of your membership is on auto renew at this point?
Richard Galanti: It's about 50 in the U.S and Canada, which would imply and that's where we have the co-brand cards. And U.S and Canada is about 80% of our company. So the 50 be-comes a 40 if you, rough numbers.
Laura Champine: Got it.
Richard Galanti: Oh, I’m sorry, you can do it on any card, not just co-brand. But in the U.S and Canada it's about 50.
Laura Champine: Understood. Thank you so much.
Operator: And for our last question, we have Kelly Bania from BMO Capital, Kelly, your line is open.
Kelly Bania: Oh, thanks for squeezing me in here. Just wanted to talk Richard about the -- just the inflationary environment. And you've talked a little bit in the past couple quarters about how your price gaps have widened. Do you think this kind of magnitude of inflation is just good for Costco's business? I mean, have you seen anything like this in the past where it could possibly just drive even more volume into your doors?
Richard Galanti: I mean, from an argument that things are more costly. On the one hand, maybe it reduces demand overall, on the sense that we're the extreme value proposition that helps us. So who the heck knows. I think I was reading this morning and the paper was -- this is the highest inflation in so many years. Wasn't that long ago, though, 10 plus years ago that regular inflation was 2% or 3% a year. And of course, it's going to be a little more right for a year. But at the end of the day, I think it helps us a little, because of the value proposition that we have.
Kelly Bania: That makes sense. And a lot has been asked here, but just wanted to also just check on self checkout and where you are with that. And if there's any color, you can help us understand on the savings or the impact on the cost structure when you put in some self checkout and the potential for that initiative going forward.
Richard Galanti: We pretty much have it now in most locations. And I'm speaking of the U.S. and Canada. And I know even across the street in many locations, we've expanded it from originally, two lanes of three or six to three lanes of three or even four lanes of three. So in a four lane area, you could have 12 people checking out. And so my guess is still going to grow a little as we expand existing units to offer a little bit more of it. And it's been a positive.
Kelly Bania: Okay, thank you.
Richard Galanti: Well, thank you everyone and have a good holiday season and we're around to answer additional questions. Have a good day.
Operator: And ladies and gentlemen, this concludes today's conference call. Thank you all for participating. You may now disconnect.